Operator: Good morning everyone, and welcome to the Darling Ingredients Inc. Conference Call to discuss the Company's Fourth Quarter and Fiscal Year 2014 Financial Results. With us today are Mr. Randall Stuewe, Chairman and Chief Executive Officer of Darling Ingredients and Mr. John Muse, Executive Vice President and Chief Financial Officer. After the speakers opening remarks, there will be a question-and-answer period, and instructions to ask a question will be given at that time. This call is being recorded and your participation implies consent to our recording this call. If you do not agree to these terms, simply drop off the line. I would now like to turn the conference over to Ms. Melissa Gaither, Director of Investor Relations for Darling Ingredients. Please go ahead.
Melissa Gaither : Thank you, Dan. Good morning. Thank you for joining us to review Darling's fourth quarter and fiscal 2014 earnings results. For this earnings call and future calls, we are providing a slide presentation to augment management’s formal presentation, which is posted in the Presentation Section of our IR Web site. Randy Stuewe, our Chairman and CEO, will begin today's call with an overview of our fourth quarter and full year financial performance and discuss some of the trends that impacted our outcome. John Muse, Executive Vice President and Chief Financial Officer will then provide you with additional details about our financial results. Additionally, we have noted in our press release yesterday we included adjusted diluted net earnings per share based on adding by non-cash amortization charges and excluding from adjusted EPS special non-operating items including those related to large acquisitions. Please see the full disclosure of our non-U.S. GAAP measures in both our earnings release and on Slide 12 of the slide presentation. John will discuss this further in his comments. Finally, Randy will conclude the prepared portion of the call with some general remarks about the business after which time we’ll be happy to answer your questions. Now for the Safe Harbor, this conference call will contain forward-looking statements regarding Darling Ingredients business opportunities and anticipated results of operations. Please bear in mind that forward-looking information is subject to many risks and uncertainties and actual results may differ materially from what is projected. Many of these risks and uncertainties are described in Darling's annual report on Form 10-K for the year ending January 03, 2015, our recent press release announced yesterday and our other filings with the SEC. Forward-looking statements in this conference call are based on our current expectations and beliefs, and we do not take any duty to update any of the forward-looking statements made in this conference call or otherwise. With that, I’d like to turn the call over to Randy.
Randall Stuewe: Thanks Melissa and good morning everyone and thanks for joining us. It's my pleasure to welcome you to the Darling Ingredients earnings call to discuss our financial results for the company's fourth quarter and our fiscal year that ended on January 3rd. Fiscal 2014 was a transformational year for our shareholders it was year mired with expansive growth, it was also a year of tremendous volatility in many global commodities which translated into significant price movements in our finished product markets. The VION Ingredients, Rothay and Terra brands and acquisitions are now part of our family. We have successfully leverage our legacy Darling business and expanded our platform across five continents with a network now of more than 200 locations. We set on to the world’s stage, double the size of our company and established ourselves as the global leader in the creation of sustainable ingredients growth of this magnitude requires patience and tenacity. Our teams navigated many challenges this year and continue to capitalize on many new ways to solidify our foundation for long term growth. We have a lot to cover this morning but before we move on to our detailed review I'd like to formally welcome back John Muse to our CFO post. John worked closely with our international team through the integration process over the last and we're delighted to have him back as part of the executive team. Additional as Melissa mentioned we’ve provided the slide deck that summarizes our quarterly and an annual financial result to better delineate our three segment reporting structure and hopefully help you better understand our business. First I'll began with the review with the fourth quarter segment operating highlights and our annual performance and then provide some general comments on what we’re seeing currently once John detailed the financial for you. During the fourth quarter results were challenged by the impact of declining global crude oil prices, a continued decline in the fat markets and a weakening euro and CAD. At the segment level the feed sector felt the brunt of this decline as most agricultural inputs decline in relation. Our food segment delivered consistently and our fuel segment benefited from the reinstatement of the blenders tax credit, overall we did our best to adjust raw material pricing arrangements, manage risk and offset the margin pressure. Timing is always the challenged and further improvements will be warranted geographically. Interestingly enough our global raw material volumes increase nicely. At the operating level fourth quarter pro forma adjusted EBITDA on a translated basis was 111.1 million compared to 119.4 in the third quarter of 2014. Foreign exchange impact over the quarter amounted to approximately 4.4 million, a reduced operating cash flow mainly due from a declining euro. Now let's take a look at specific fourth quarter operating highlights in each segment and they're noted on Slide 3. Feed segment earnings were pressured by lower finished fat prices, global fat price decline in concert with lower crude oil prices and have been vesting global grain supply. The U.S safe feed segment felt most of the pressure again as fat prices decline not only effecting rendering but also use cooking oil business and our bakery feeds business. As noted we are adjusting our procurement strategies to offset and improve margin. This involves putting collection and service to use back in place in many markets. In Europe our rendering business was far more insulated but still it felt some pressure and we'll do it's best to adjust procurement strategies, especially in Germany. Protein prices especially for our value added proteins remains quite stable and demand looks favorable for the near term. Foreign exchange impacts were significant to this segment and will continue to weigh on our performance. Earnings were fairly consistent in our food segment led by Rousselo's global Gelatin business. Rousselo perform nicely and rebounded from third quarter lows. Europe North America led the performance and China continues to show signs of improvement. In South America we continue to make adjustments to offset margin pressure from tight raw material availability, availability currency headwinds and higher operating cost. Our Sonac edible fat processing business made the necessary adjustments in the quarter and margins have now normalized. Within CTH our casings business we believe we have turn the quarter as hog casing margins have improve. And finally we are pleased with the results of our fuels segment which reported an EBITDA of 16.9 million in the fourth quarter additional Diamond Green Diesel delivered in adjusted EBITDA of 63.7 million to Darling for our fourth quarter Diamond Green Diesel delivered record production running in excess of name plate capacity of 11,000 barrels of input feed stock per day. Diamond Green Diesel as well as our Canadian bio-diesel operations also benefited from the late year reinstatement of the blenders tax credit. Rendac, our disease medication and disposal for energy rendering business felt a pressure of the declining energy complex while earnings moderated accordingly we anticipate successfully negotiating improved [to us] to offset the more majority of the margin compression. From our world view we reported an overall strong 2014 fiscal year pro forma adjusted EBITDA of 512.6 million or adjust non-GAAP diluted EPS of a $20 on sales of nearly $4 billion. This result reflects full contributions from our acquired global operations foreign exchange translation impact and the reduction in acquisition and integration expenses which John will give you a few more details on momentarily. Additionally, we reduced our long-term outstanding debt by a 122 million all the while investing in growth around the world with the capital expense program spending of 229 million. For the year, our global operations performed well in the face of currency and commodity movements, slowing international economies, continued U.S. government ambiguity surrounding the renewal volume obligation mandates and their RFS ruling. With that, I’ll turn it over to John for his financial view and after John concludes, I’ll give some closing remarks. John?
John Muse: Thanks, Randy and good morning to everyone. Before I review our results for the fourth quarter and fiscal 2014, I would like to note that we introduced a non-GAAP adjusted EPS as a measure of earnings due to our significant merger and acquisition related activity. As Melissa said, we’ve provided a slide deck detailing the full disclosure around our non-GAAP measures, but these are not intended to be a substitute of our presentation in accordance with GAAP. Reconciliation of net income to non-GAAP adjusted EBITDA and pro forma adjusted figures are included in the press release on our Form 10-K filed yesterday afternoon. We have also provided segment performance information in the earnings call slide deck which we believe will be very helpful and reviewing the segment results going forward. Additionally, 2014 results include an additional week of operation and which occurs every six to seven years. It is also important to point out that our results for this year included 52 weeks of operations from VION and 53 weeks from Rothsay compared to no operations for VION and nine weeks from Rothsay in 2013. As such, both years include after tax acquisition and integration cost which are outlined in the earnings summary on Slide 7. As Randy said, we saw the impact of lower finished product pricing, primarily in fats. On the sequential basis for the third quarter of 2014, fat prices decline more than 12% to 16%. Primarily due to an oversupply of global crop production and the uncertainty surrounding expectations of RFS2 mandated volumes in 2014 and 2015. Net income for the fourth quarter was 69.9 million or $0.42 per diluted share compared to net income of 22.5 million or $0.18 per share for the 2013 comparable period. The 47.4 million increase in net previous primarily resulted from the inclusion of the blender’s tax credit from Diamond Green Diesel and our newly acquired operations. For the fiscal year, we reported net income of 64.2 million or $0.39 per diluted share compared to 2013 net income of 109 million or $0.91 per diluted share. We have outlined the after tax transaction related cost adjustments on Slide 6 to show adjusted diluted EPS for both the quarter and annual period. Without the inventory step up costs, the redemption premium and deferred loan cost write-off associated with the 8.5 million -- 8.5% senior notes. The acquisition and integration cost in the euro forward contract hedge net income and diluted shares per common share would have been 144.3 million or $0.88 per diluted share, prospectively for the year ended January 3, 2015, as compared to a 115.4 million or $0.97 per share for the year ended December 28, 2013. On a pro forma adjusted EBITDA basis, the company would have generated 512.6 million in 2014, as compared to a pro forma adjusted EBITDA of 291.6 million in the same period of 2013. Again this is attributable to the inclusion of our newly acquired acquisitions. You will note that the pro forma adjusted EBITDA does not include Diamond Green Diesel’s joint venture adjusted EBITDA. Moving into the operating segments, a quarterly breakout of each operating ingredient segment is included in the slide deck. As Randy mentioned, our feed ingredients business was largely impacted by lower earnings in the U.S. primarily as the result of weakness in the bakery feed unit, sever early winter in this year and lower finished fat product prices mostly tied to our non-formula business. Additionally, we completed the Custom Blender’s acquisition, one of the leading bakery residual recyclers in the U.S. further expanding our footprint and synergy opportunities within the baker feeds unit. As you’ll recall, we did not have food ingredient operations prior to the VION acquisition. Our European specially ingredient business performed nicely with strong volumes, although fat supplies grew with a Russian border closure and the U.S. dollar strengthening pressure finished product prices, the Gelatin business rallied in China normalizing and South America raw material supply is improving, also our casings business showed improve margins. Our fuel ingredients business showed significant improvement in the fourth quarter with a restart of Diamond Green Diesel joint venture, which is now running and excess of 11,000 barrels of input of feedstock per day. Results were impacted by the passing of the late year reinstatement the blender’s tax credit which increased fourth quarter results by approximately 5.5 million at our U.S. and Canadian plants and by approximately 63 million at Diamond Green Diesel to joint venture. Finally, the new Ecoson biogas plant in Southern Netherlands is online and beginning to contribute. Relative to the company's investment and joint venture with Valero on the balance sheet we reported an investment of 202 million as of January 30, 2015 compare to the 115 million at December 28, 2013. In early second quarter 2015 we're anticipating that Darling will received a cash dividend from Diamond Green Diesel after require debt payment and working capital needs are determined. Let me provide some additional balance sheet detail. On January 3 the company had working capital of 569 million and a working capital ratio 2.18 to 1 compared to working capital of 950 million and a working capital ratio of 6.38 to 1 at December 2013. The decrease in working capital is primarily due to a decrease in cash and cash equivalents and working capital from the VION acquisition. During 2014 CapEx increased to 220,000 million compared to 118 million in 2013 the increase is related to CapEx incurred by VION and Rothsay acquisitions for normal compliance replacement and maintenance CapEx. I have two final notes I would like to cover, first related to foreign currency exchange the U.S dollar has strengthened against both the euro and Canadian dollar in early 2015. If we assume actual results for 2014 and compare it to 2014, yearly average FX rates to the spot rate at the end of January 2015, the impact to sales and operating income in 2015 would be approximately 219 million for sales and 31 million on operating income respectively. I like to point out that our European and Canadian deck is aligned with the functional currencies used by our non-domestic operations. And lastly, we're recorded two re-class adjustments at year end that had no P&L impact. The first was the re-class between sales and cost of sales related to freight in the amount of 62 million to achieve a global consistency on the recording of freight cost and the second adjustment was relate to a mapping allocation change between operating cost and SG&A of 48 million. I will now turn the call back over to Randy.
Randall Stuewe: Thanks John we close fiscal 2014 by laying the ground work with solid forward momentum for long term growth. Our business model remains strong and continues to generate significant cash, adjustments will be made globally and we have undertaken a formidable construction plan on six new plans. On a translated basis the U.S dollar is expected to pose headwinds for many of our international businesses. Protein productions globally are expected to remains strong in 2015 and the fat complex will remain under pressure until renewable fuel policies in both Europe and USA our result. We are beginning to see some normalization going forward from an ingredients pricing standpoint globally our businesses are healthy and we will continue to manage to a balanced portfolio that provide long term growth. On behalf of senior management we like to thank our shareholders and employees for believing in our vision to be the global leader in creating sustainable ingredients for food, feed and fuel. With that let's go to Q&A. Dan?
Operator: [Operator Instructions] And our first question comes from Carla Casella of J.P. Morgan. Please go ahead.
Carla Casella : You showed in your chart where you issued the pro forma EBITDA, including Diamond Green Diesel for '14, '13 last few years. So is it safe to just pull 64 million out of that to get to what the underlying EBITDA is of 530 million versus 607 last year? On page 14?
Randall Stuewe: Diamond Green Diesel is in those numbers.
Carla Casella : And the numbers that’s in there is the EBITDA that you pointed for Diamond Green Diesel?
Randall Stuewe: That’s correct.
Carla Casella : And then is there any magnitude you can give us or approximation for what the dividend you may be receiving or we should look at the cash flow for Diamond Green Diesel going forward? Should we look at it as a certain percentage of EBITDA -- something you make get paid out on an annual basis or how is that going to be determined?
Randall Stuewe: On Diamond Green Diesel the board meeting will be in the couple of weeks at that times the Diamond Green Diesel board will look at what the capital needs and the working capital needs will be -- with increased production that we got going on there at Diamond Green Diesel. There is within the joint venture, there is a waterfall that will be used to pay down some of the debt. But the final number hasn’t been determined and I really don’t want to throw out the number yet that we haven’t finalized.
John Muse: Let me add a little bit, I mean at the end of the day we’ve seen -- I think we filed earlier here in December when it was reinstated an amount that would be the tax credit for -- that would be given back to us we applied for it I think. The government has 60 plus days so sometime in early April, we’re anticipating the receipt of that. Diamond Green Diesel is now currently running well in excess of 11,000 barrels a day. We’re working on some challenges on outbound logistics right now, but and then so as John says Carla the, the dividend of will be determine after the mandatory debt repayment and then whatever capital you want to live in there as we evaluate the additional expansion to take it on up.
Carla Casella: And the just one question on given the dollar and commodity moves, how are you looking at ’15 in terms of -- how do you set the hedging and is there any way we can -- any formula we should look out for every year end? Cent move in the euro, what the impact could be on EBITDA?
Randall Stuewe: I think it probably gives me a little bit of platform here to comment on this, I mean number one, it is a fairly complicated global model now with lots of moving parts and different ways that we not only procure product but we sell product in the segments and the currencies and all of that that goes on. I think when we go back and look at the businesses and say did we get what we were buying? The answer is absolutely and we try to explain that [work] in the sense on a functional business, the VION ingredient business is performing precisely where we did our investment case, Rothsay was performing or is performing where we did our investment case was the minor adjustment for the biodiesel trades at a discounts to renewable diesel. So while it did receive a little bit of the tax benefit, it didn’t benefit the product premiums that Diamond Green Diesel gets. So on a functional basis, we’re incredibly health around the world and within our decision to acquire those businesses, we’re very, very pleased with where they perform where they are anticipated to perform for next year. And that all comes to do with how we procure raw material, where the finish products are sold, the kinds of products within the food and feed and fuel segments within those businesses. As we said Carla, I mean the challenge in -- and we try to explain this has been the USA where we’ve seen just a constant decline of the price of fat since mid-year last year. I mean as we -- I thought from my perspective Q4 was pretty solid relative to Q3 given that process move down another 15%, 16%, 17% during the quarter and then we saw little bit of decline within the protein little bit less. So from our perspective, we’re still normalizing within the U.S. I think on some of the slides when you go back you get to look at the operating margins and are still very, very healthy and from our standpoint that each one of the geographic businesses is performing pretty nicely, when you start to aggregate this and as John and my first experience in aggregating the translated company that’s where the challenge comes in. But on a functional basis everybody is in line and doing what we thought it would do.
Operator: Our next question comes from Dan Mannes of Avondale. Please go ahead.
Dan Mannes: Yes, I guess that’s a translation issue. First of all welcome back John and to both of you guys thanks for giving us the pro forma historical quarters, I think that helps a lot in terms of understanding where some of the challenges have been. I do have a couple of follow-up question. So first as it relates to your activities in feed business and trying to get the spreads back up on the formula stuff, can you just talk about the timeline here? I mean we’re now at three or four straight quarters, I know you're seeing [beat up] especially pricing headwinds on the fat side, but it doesn’t seem like you're even getting back some of the spreads that maybe lost two and three quarters ago. So, I am wondering do we need to see a couple of quarters of flat end market pricing for us to be able to see the spread benefit view.
Randall Stuewe: We would certainly welcome some consistency because that’s true not only in the USA, Dan. I think in the USA to further expand little bit, we’ve got the classic rendering business which is doing quite well. The bakery business continues to come under pressure as with the declining corn price and then you forget rolled up within the rendering business for us it that used cooking oil business that has less than half or have somewhere in there on some type of pricing arrangement. So, as prices move down you’ve always have just lag effect and like once again we’ve not seen prices since Q2 anywhere, I mean when you start to compare Q2 to the end of the year you're down $100 a ton in the USA alone and so it's pretty easy to see that in Q1 here January was a little weaker in the sense of fat prices. Protein prices are holding in there in USA. But at the end of the day and volumes are very, very good around the horn would we look at Europe and the Europe rendering model those two businesses over there, the Sonac C3 which is a classic rendering likes the U.S and then there is Rendac business. The Rendac business is feeling the pressure of lower energy prices but it's a government contract business but then it has the ability to adjust, but with lower crude oil prices impacts been what -- the price of palm oil in the world and so a cheaper palm oil then you have cheaper fats in Europe. So we're seeing that the same compression there that we're seeing here but at the end of the day it just takes time to go back and adjust to historical and normal what we call margins. The other piece that we're now with and I try to allude to it within my commentary it's been a while since we've seen a pricing point within USA rendering business it says we have to go back and charge or raise our charges for mortalities and use cooking oil. Those are what we called collection and transportation fees. We watched many of those fees fade away during some of our super high priced commodity area, we kind of cross that line. So with combination with lowering our adjusting the raw material prices to our suppliers many of them will be put back on charges here and with that it just takes a little bit of time.
Dan Mannes: And just a clarification, it's been a long time since you separately reported restaurants services were, bakery we had number is recently '13. Where is restaurant service from a revenue perspective? Is it still I don’t know 200-300 million or how meaningful is it in the context of your feed business?
John Muse: Restaurants services, Dan we don’t break that out anymore as you say. Obviously our volumes are the same as what we've had in the past but the pricing as Randy said were down a lot on the pricing and that is the biggest share of our non-formula business that we've got. But from a volume standpoint the same relationship is there as we had over the last few years is not due to a decrease in volume it’s strictly a price driven thank from an EBITDA standpoint.
Dan Mannes: Next, you are going to see historically especially going back since VION and Rothsay. You kind of targeted a goal of a baseline EBITDA in the 600 million range core so XTGD. Giving some of the currency headwinds that obviously are outside your control, is that the reasonable expectations should we may be revised to a different number?
Randall Stuewe: I think -- Dan it’s Randy -- what I -- slept on that and said the 600 number that gives delineated out there was a point in time as we were trying to set a baseline in the sense of a starting point for where we were going to grow the business. We commonly said that we never saw a lot of synergies because of the amount of water between the Ocean between the businesses. But we saw a lot of opportunity from a revenue synergy standpoint in the sense of being able to grow businesses and leverage knowledge that we have between VION and ourselves. So we laid out our baseline and said here is the projects we're going do and '14, '15; here is the projects we're going do in '16, '17 and forward -- to continue to give forward momentum to the business that was our way of addressing that. At the moment when we looked down at the start of '13 we didn’t have $50 oil, we had a 130 something euro we had pretty much parity CAD and we had $0.35 or $0.38 oils out there along with $450 to $600 proteins. So this is been a turn of moving parts. I'm not avoiding your question I'm just saying it's not relevant from our perspective, our perspective is we have six new plans under construction. The functional businesses around the world both in Europe, China, and South America, Canada are performing exactly where we bought and are on target to continue to grow from here. It's just for us it's just that translation side and a little bit of headwinds here as the USA adjust to the continues declining fat and softening protein prices.
Dan Mannes: And then one lastly just on RFS, I think EPA is kind of on record, is talking about the spring. Can you give us, number one your view on an expectation in terms of what they can out with and the timeline and secondly can you maybe jog that at all with the decision on the Argentinean bio-diesel?
Randall Stuewe: Trying to predict what they're going do is probably a bad idea. From our perspective we were on capitol hill yesterday, meeting with different people on different committees again the body language is twofold, one; the tax extenders will again come through this year and two; the White House is the hold up on RFS, the EPA is ready to bring it forward. We're not sure what that really means as far as volumes or increase levels there, from our perspective the Argentine bio-diesel probably was not a good thing in the sense of we’re already over capacity in the U.S. But I think we remain optimistic and I think the other thing that’s very important from a borrowing shareholder perspective is Diamond Green Diesel continues to run above name plate capacity in January and February so far. And we’ve got very positive margins down there, I mean this is something that we are the low cost operator, so whatever they do with the RFS and the RVO it can only be positive to Diamond Green Diesel.
Operator: Our next question comes from Ken Zaslow of BMO Capital Markets. Please go ahead.
Ken Zaslow: A couple of questions, one is obviously this is a [indiscernible] quarter, what is the actual path to restoring EBITDA -- will actually rebound in these level, can you talking about what needs to happen in 2015 as you start to progress off these numbers? And then I have a couple of follow-ups.
Randall Stuewe: Once again I don’t know that -- I am not going to give forward guidance on that, but what I am looking at around the world and what are we doing strategically, we’re internally the businesses are operating exactly where we thought they would on a functional basis again. So, we’ve got growth plans underway and our Gelatin business around the world from debottlenecking to an expansion in the view. We’re seeing margins normalize, as we said when we bought the VION business and the business case there was what we call -- we thought there will be a softening in the Gelatin business, we saw it, and it was exacerbated a little bit by some Chinese pharmaceutical and confectionary scandals over there. But we’re seeing China to come back; South America on the other hand as we said had a little bit -- the price of bovine hides when dramatically because of leather demand in China. So, we margin compression there, but now we’re seeing the real devalue and we’re being able raise prices again offset that. So overall the Gelatin business is healthy, in fact each business remains consistent, you’ve seen that in the food segment that we reported just quarter-over-quarter down a $1 million, that’s kind of a pretty interesting perspective when you see volatility of 15%, 20% and the underlying commodities to have that steady. We talked already about Diamond -- the fuel segments comprised of our Rendac business, our Ecoson business and our biodiesel and Diamond Green Diesel business. Biodiesel Canada is under pressure right now and will be until we get some type for mandate there, so then its back to the USA rendering business, the Canadian rendering business and the European or Sonac C3 rendering business. The Sonac C3 rendering business is what I would call far more or less volatile than what we have in the U.S. Although it has the similar challenges, it’s finished product markets don’t move as dramatically as we do in the USA and there is a very, very strong focus on value added ingredients there. Canada, we’ve had to make adjustments there because of the declining values, but I think we’re in sync with where the markets are there. So the USA then becomes windows that normalize and really at the end of the day as we started to look through Q4 and different pieces the rendering side from the fat and bone processing is very stable now, we’re seeing very nice input tonnage from the poultry industry, believe it or not, the beef industry is very healthy and within our system and then we’re starting to see a tremendous amount of pork input again. And all of the animal whether it’s chicken, a hog or a cow or coming in at incredible weights and that’s what’s pressuring a lot of the fat prices, because you don’t have the seasonal biofuel demand. And then with the strengthening U.S. dollar, you don’t have the small amount of exports going out and a year to kept it stable, so that’s a little bit of it. The bakery feeds business, we are in the middle of still integrating the Custom Blender’s acquisition, we got a brand new plant under construction in Bryan, Texas that should be on by September. That will bring quite a few of the synergy opportunities that were available back to us and really at the end of the day John and I kind of talked when Dan Mannes ask the question the used cooking oil business is one that’s had a lot of competition over the last three years as it’s the main input that many of these biodiesel producers can use. We’ve got to change our go-to-market strategy there and that’s a thing we’re working on very diligently to put a margin back in that business. We’ve seen significant margin compression there and so that’s strategically our focus is within to get in the bakery business plans to for capture the synergies, if they use cooking oil. Just manage our margins within the USA rendering business and then let Canada and Europe deliver just like they delivered last year.
Ken Zaslow: When I look at -- there was a slide, one of my favorite slide you put together the projection of EBITDA overtime. The projects that you did in 2014, 2015 was with the $25 million to $30 million in new EBITDA, I'm assuming that came in below expectations by the share environment. But 2015, 2016 are you still doing all the projects you expected to do and is what you’re doing characterize that $50 million to $60 million in new EBITDA by your 20% or something? How we think about that because that’s incremental EBITDA coming in '15 and '16 as well and how do you think about that? Are there any projects that are not going on that you thought you were doing? And how do we think about the EBITDA contribution?
Randall Stuewe: No, I think when we go back and say what we're looking at in '15 here our Newberry Indiana expansion online. We are just starting up last week or Bastrop, Texas expansion. We've got part of the expansion online in the Buke right now but majority of it will be later here in '15 we brought this John reference the Ecoson bio-digester and bio-phosphate plant online. So that’s all just started up here in late '14 and '15. Right now we have a plant under construction on Arkansas, we have one more about to go under construction in Ohio that’s approved, and we have new wet pet food plant in Ravenna, Nebraska. We have a new wet pet food plant in Paducah, Kentucky and the Bryan, Texas bakery plant; also started up in late summer was our Muscatine, Iowa bakery plant; also we've got under construction a blood plasma drying plant in Goias in Brazil. But that won’t come on until probably early '16 sometimes. So really it's just about getting these plants up and running during late '15 so they can contribute in '16 and then so we're right on target with where we thought we would be.
Ken Zaslow: My final question is, you use cash -- you guys have a decent level of cash, your cash generation despite the quarter, cash generation is not a problem. Would you ever consider dividend or some way to repay back your patient investor?
Randall Stuewe: It's clearly something that’s discussed at all times. We would say that probably the likelihood’s lower today then what you might think because and the reason why is because as the market cycles around the world we're seeing more and more opportunities to grow our platform in multiple geographies right now, that I think would from our perspective is they can be purchased right would be a better use of cash. But I would never say that a dividend is off the table at this time. Our view of dividend is very straight forward, we want to make it meaningful and once you put in there you can never make it go away and you always have to grow it. So we were evaluating it against the world of additional growth acquisitions that we think fit our platform and help us move forward for the long term growth for the shareholders.
Operator: Our next question comes from JinMing Liu of Ardour Capital. Please go ahead.
JinMing Liu : First thank you for providing the gold material process bond for all case top quarters. I have a question regarding the volume for your feed and the fuel segment in fourth quarter, it counted -- comparing the specialty it counted a lot quarterly. So you said this normal seasonality or something abnormal happen during the fourth quarter?
Randall Stuewe: Well in the fourth quarter we had the blender’s tax credit that we received. We have two bio-diesel facilities one in Butler Kentucky and then one in Canada. And we did received the benefit of that around 4.5 million to 5 million extra EBITDA in the fourth quarter.
John Muse: I think JinMing was asking about volume and -- volume within the feed segment like we said tonnage around the world has been very strong. And so you got -- the fat and bone inputs around the world have been very strong in all geographies. In the fuel segment you got a couple of things. Number one, Diamond Green Diesel is running in excess of 11,000 barrels a day and then secondly we brought on the Ecoson business that is reported in there now.
JinMing Liu: Regarding Diamond Green Diesel, have you experienced any trouble to assort high quality material feed stock for that facility and also what kind of percentage coming from starting internal production to supply DGD?
Randall Stuewe: DGD continues to operate and proves that they can run about any type of input this available to it. Obviously, we spend a lot of time qualifying facilities for the amount alkaline metals and that determines long term catalyst life for the facility. So the blend of that facility runs as we've released in the past on used cooking oil, yellow grease and distillers corn oil and then it moves all over the place depending on availability of supply, today yellow grease is a little cheaper than distillers corn oil and et cetera. Darling continues to supply somewhere between 30% and 50% of the volume that moves down there and that’s what gives us a view that we have a real opportunity to further expand that plant going forward.
Operator: Our next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson: So I wanted to come back to the question I think Dan and Ken were kind of coming at in different ways on the normalize EBITDA, on the basis of select DGD 513 million of EBITDA in ’14, I think the comparable number will be 594 on a pro forma basis in ’13. You talked about in the release in the K, 30 million year-on-year headwinds, 15 for FX at January probably a little bit worse since then, so that would take you to 480 just on a FX kind of -- FX basis for ’15. John and Randy, can you walk me through the pieces that negatively impacted ’14 that don’t -- that shouldn’t repeat and would start to grow from here, so polar vortex in the first quarter the Diamond Green Diesel downtime, in fact on the feed business in the third quarter any kind of -- lower SG&A? And then the organic growth initiatives that you have in place on top of presumably that are base volume growth on higher slaughter volumes principally in the U.S.?
Randall Stuewe: It's great question Adam, I mean when you look at it and I try to break it still within the segments food, feed in fuel, Rousselot came under -- and you got to remember you're talking translated, so translated to translated it becomes a little bit of challenge, but we’ll go with it. I mean, Rousselot is growing volumes are up year-over-year, I don’t see anything changing there in ’15 other than an improvement of both efficiency and higher sales volume, margins move around in that business given the supply and demand as we said many calls ago and continue to reinforce, that business came out of a tremendous couple of years around the world and with tremendous years you get expansion and so we got to put the supply and demand back in balance around the world and I think that’s starting to improve, we’re seeing it in China, we’re feeling the margin compression relax just a little bit in Brazil, but there are still a little bit of headwinds in Brazil with energy cost, et cetera. So that’s the food segment, I think pretty straight forward from a standpoint of a functional basis and then you got the currency headwinds there. The fuel side we continue to -- we said we brought the Ecoson unit that process pig manure into methane gas and bio-phosphate fertilizer. We got Diamond Green Diesel now up and running bigger, and better, and so at the end of the day we anticipate consistent type of contribution there, once again it will be a fantastic finish with the blender’s tax credit either in or out. And so the fuel segment from that standpoint has a little bit of translation risk because of the Rendac unit in it, but Rendac as we’ve always said is a very consistent predictable business model that’s -- that is a feed per service business that’s hired to government contracts with plants in Belgium, Holland and Germany. So, the fuel segment feels pretty down and stable, when we get over to the feed segment that’s where you have the commodity exposure as we’ve always talked about, but commodity exposure then can be broken down around the world. Europe is very -- to a degree as we use the word insolated, we’ve got some competition in pricing exposure in Germany that we’re working through with the lower prices. Canada, we continue to just chug along up there and do quite well. And the USA, our rendering business is now starting to feel and will feel the benefits of several new accounts that come online here during second, third quarter for the year that we’ve landed our volumes will be up quite a bit during the year as I look forward here provided the industry the slaughter industry continues to operate at or near the levels currently. The bakery business, we’re adjusting to the lower corn price there and buying off corn, you selling off that corn and it's not hard to look back into 2013 and see $6 and something corn and at the end of ’14, $4 corn and that translates in the quite a bit lower earnings. And then the final one that we talked about in the USA still the headwinds that we have in that used cooking oil business, it's a big business for us. We’ve talked about it in the past, it's one that came under extreme competition for the biofuel industry and that’s where the margin compression that we had. So, when I go back to the feed segment and I try to normalize or explain. As I look across that you got the bakery pieces that’s very obvious, you've got the ForEx decline that’s there and then you got the used cooking oil impact along with just a normal decline that’s happened in feed and/or in the protein and fat prices even within the rendering business. As we said our rendering business feels like -- at the slaughter house level it feels like it's normalized at the fallen stock business were we're picking up mortalities in the country. As prices go down you've got to put charges back in place to protect those margins. That’s just takes time it's been part of the dialing business model forever and so at the end of the day we see that coming back John and I are trying to get all of the extra consultants in SG&A expense out of here and get that to somewhere where we have a new bigger global company with very complicated reporting requirements around the world, it was a tremendous effort on all part to pull this thing together for year end, but we got to get that out. Our new oracle system basically is coming online now and so we have very little consulting cost in there and they're all our own employees. So I think there is a lot of normalization that’s going to happen here but as far as transparency and look forward here we got to have fats and protein prices in the USA to stabilized. So you can see the progress we're making with the startup of faster taxes with Newberry Indiana, with Muscatine Iowa and then as we bring on our other new plans here that there is hard to show you that there is true organic volume growth going on as long as there is these kind of downward pressure that’s happening with the prices.
Adam Samuelson: So maybe I'll ask the question in a different way, the 600 million kind of normalized EBITDA that you talked about at the September Analyst Day. Is that predicated on corn price well north of four and soybean oil or fat as a proxy for fat with $0.35 or $0.40, in oil it's $0.80. Is it, where is it? And how long does it take on the non-formula business to really get those charges in place to see the normalization in margin? Do we just need to [quote] one quarter of really no decline in fat prices, is it six months, is it a year? The commodity price have been on a downloading trend now for a better part of two years and it's still seeing that we're playing catch up and I'm just trying to understand how long it takes -- if commodity prices stop going down, how long that you would start to see the EBITDA actually rebound?
John Muse: I think you answered most of your own question there. When we -- as I said in one of the earlier discussions that 600 was just looking at the time, we don’t give guidance at the time we looked at it and said on a 12 month look back given what's going on in the market today that number would have been about 600 and then we told you the projects that we used going forward. So the 600 was not a prediction of earnings but a reference point to go forward and I want to be clear about that one more time. What we've seen since January, February, March and '14 we've just seen a constant decline of prices and that severe compression in the Bakery feeds business we've seen the use cooking oil business collapse from a high of $0.34, $0.35 down to $0.25, $0.26 you take in a $100 of tons and then overriding all of this is as we've said three or four times the price of crude oil impact the value of energy around the world. But it also impacts the price of the alternative fuels business and therefore you have some incredible pressure in Europe that then translates to Brazil and South America on up to the U.S driven by the $50 barrel decline in crude oil. So I mean to answer your question is we operate the business from a margin percentage basis and where we are at today going forward is where we're building from.
Adam Samuelson: And then maybe on the last point thinking about where we are -- it’s March 5 we’re more than two thirds of the way through the first quarter. Can you talk -- fat prices have been -- and I’m just wondering -- into the first quarter maybe profitability of Diamond Green Diesel prices did move up in February that I presume should have helped Diamond Green margins and thinking about the 4Q to 1Q progression. How you're seeing -- how is the business running today?
John Muse: As we said we're seeing volumes -- raw material volumes within the feed segment. They're up substantially all around the globe right now you got just the strong hog, beef and chicken slaughter in U.S. Chicken and pork in Europe and then pork in Canada. So volumes are up very solidly. You got a little bit of price pressure still happening as you got fats down another $40 a ton here. We are seeing fat prices start to normalize and improve in Europe as we talked about with the decline of crude oil, it's allow palm oil to start to decline and when palm oil starts to work in the Europe and bio-fuel programs if it pressure cap one, cap two pipe and even cap three fats there. So we continue to feel pressure there but volumes are good [Russoil] business is performing as we both predicted and anticipated and Diamond Green Diesel has had some pretty good production months here so far. So, we think we’re pretty consistent with where we were but we do still have a little bit of price pressure both in the bakery side and the feed and protein side here in the and fat side in the USA for Q1.
Operator: Our next question comes from John Quealy of Canaccord Genuity. Please go ahead.
John Quealy: So on the balance sheet and cash flow, can you fill in some of the numbers, CapEx guys is what ballpark are we looking at? And then John welcome back, I know you're aggressively focused on balance sheet. How should we think about that anything that you can do with that over the next sort of near to mid-term?
John Muse: I’ll cover debt first, bearing 2014 we reduced our debt by 122 million, obviously 26 million on that was as mandatory amortization on the Term A, Term B, but we also reduced our revolver by 96 million. So, our focus is going to continue to be paying down debt as we go forward. Our CapEx spending in 2015 was 228 million with the number of capital projects that we got going that Randy talked about the two wet pet food plants, the two rendering plants, the bakery plant. Our CapEx spending is going to be more in the 260s range I believe in 2015, because those are the plants that are going to get earnings that we’re looking at as we go forward. So, we will have a little bit heavier CapEx spending 2015, but most of that is being driven by as I said the new facilities out there.
John Quealy: And then just to come back to the concept of the collection fees in all that, Randy can you help just orient that again for us? Is this going to be rolled out across the product line, is it focused on some others and how long does it take to implement this across whatever part of the enterprise is effected?
Randall Stuewe: It's very transparent in the sense and very it's geographically John, it's one of those things that you have to start improving your pick up charges in Iowa and Nebraska that would be the lower oil. Prices in Europe you have to reapply to make big changes in the pair-ups for the lower values of energy. It's just something that will be happen in each quarter and adjusting to if the fat prices, rebound as much, but as protein prices continue to back off a little bit. We continue to -- if you watch the soybean voted out where you see soybean oil seems to like $0.32, $0.33 and it seems to like about $325 of Term. Our portions are trading still a little bit above that and driven by good protein demand and consumer protein demand around the world, so as long as the prices hold in there and there may not be many changes or many adjustments made, but if we do get any further deterioration we’re going to have to.
John Quealy: And lastly real quick, so good to see Rousselot and Gelatin pick back up in China. Did you get any share gain there or is it just the market inflating post some of the gummy bear Pharma stuff? Thanks guys.
Randall Stuewe: I think we’ve had an aggressive growth pattern around the world; we position ourselves as the quality and the market leader. So, yes, we gain share around the world, but what we believe to be pretty consistent with our current share and where the market is growing.
Operator: Our next question comes from Robert Kolosieke of Eminence Capital. Please go ahead.
Robert Kolosieke: In feed you did a 115 million in EBITDA in Q2 and now that’s down to 76 million this quarter, so of that 38 million decline, how much is formula related lags?
Randall Stuewe: The biggest impact as we’ve said from the 116 to the 76 is the non-formula, our rendering volumes has held well and our earnings out of the formula rendering business are basically still the same because that’s why the business is under a formula, it’s a fix margin business. The impacts there was bakery, as the corn prices started dropping during the year if a new crop came on board, we were looking at corn in 2014 first quarter for $4.56, second quarter 4.93 and then when we got into third quarter it went around to 3.80. So it’s over a $1 drop happen at that point in time and then fourth quarter was even down. The bakery business as we always said was our largest exposure to the downside market because we buy own corn and sell own corn. And that is also a sharing relationship, it's a formula but not a margin protection formula. It's sharing and when that price comes down it comes down as well. There are floors under those which lot of those are starting to kick in the place now. So the margin pressure on that should ease about from going down and from that standpoint, we've currently reached the bottom on that one. The use cooking oil as Randy said over 50% of that market is under non-formula that -- we've been consistently stating that over the year and with this drop down when you've got a large volume business like that and it drops off, that’s where the two areas of where that pressure came from and mostly in North America with bakery and the use cooking oil is where the majority of that reduction has come from.
Robert Kolosieke: Okay so where you thinking going forward and you're doing say 76 million in EBITDA today. What's the confidence that you can grow that by going back to the customers on the non-formula business or is this something that we should you may think of as upside if you can potentially. Otherwise we're basically talking about 300 million in annualize EBITDA on feed.
Randall Stuewe: It's a great question and also you know how I look at it. The two businesses John talked about bakery and cooking oil have unbelievable optionality on the upside. We're right now at the floors on those businesses, we're putting charges back in for cooking oil the bakeries hit the floors where we're widen in margin there. The non-formula business now to my view is coming, if it's not at the top it's closed and so from this standpoint we look at it and say okay we've got to make further adjustments around the world, a little bit on raw materials to get our margins back to where we want them, that’s always a lag that -- whether it's in Canada or whether it's in Europe you take your best shot of where you think you're going sell the product for the next month to two months and then you would just according and sometime you get right and sometime you don’t. So at the end of the day you've got to make those changes. The other thing that we continue to try to highlight is your going see in the feed segment -- remember feed is made up USA rendering, USA bakery, USA cooking oil, Canada rendering and Europe or what we called Sonac rendering and within Sonac you have the rendering in the blood business. The blood business is always kind of week in the first quarter strengthens as aquaculture and things happen around the world in the back half of the year. But you throw on, we've got expansions underway right now we're bringing on our Bastrop plan with Newberry is up in run, the Muscatine plans is up. We've got a new blood plant that just came online in second line in Zhejiang, China. So overall I think from my perspective -- I'm not given guidance here, it feels like we're turning the corners as long as we don’t get any more extreme price pressure on the downside here.
Robert Kolosieke: And something you said before you talk about the blood element. You said there is still adjustment on the lag, so I guess I'm a little confused because that felt like you said they were not adjustments beyond sort of the 76, that is what it is and we just have great optionality and I guess you said there are some adjustments on a lag basis.
Randall Stuewe: You've already seen fats in oil prices for January go down $0.02 a pound or $40, $35, $40 a ton from where it was in Q4. That means we have to go back to suppliers here in North America, Canada especially and lower what we're paying for raw material. The same goes true when you get the upside, you're always making adjustments to try to keep the margin in a range that’s acceptable for you and fair to the supplier. So we’ve had again price movements here in Q1 that will want additional adjustments and doesn’t it mean that the prices won’t come back and it won't but that’s the way we manage the business and have forever.
Robert Kolosieke: And then in terms of competition in used cooking oil and bakery presumably if the Euro struggling with it, smaller peers are potentially losing a decent bit of money, are you seeing a lot of competitors actually leaving the market?
Randall Stuewe: We're seeing in the use cooking oil business a lot for sale. I wouldn’t say that’s an acquisition candidate for us because we would rather just be patience and go back on the street with the quality accounts and earn them back. I mean the loyalty in that business is very low the barriers to entry are even lower. And so finally there is been enough margin compression there and with the kind of ambiguity in the biofuel programs where we're seeing some -- quite a few sales signs in front of these little guys that went out and started their own trucking operations to sell to the biofuel guys. And then to answer your other question on bakery, yes there has been some pretty good consolidation in that business, it’s just a function of finding a fair margin in that, remember we came off of great big years in that business, like we said incredible optionality, John was talking about second quarter, you saw corn prices of $5 in second quarter and you saw corn prices at $3 during fourth quarter, 3.28 a bushel. So lots of moment, it just one of those things, you got to pick your point in time and try to ask yourself what’s normal and then work with the supplier.
Robert Kolosieke: And last one, if you could just give us an update on M&A opportunity in Europe?
Randall Stuewe: That sure is -- I guess -- we’re looking at lots of M&A opportunities around the world right now and Europe there are several opportunities in Europe, several in China and several in South America right now, so I just leave it at that.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Randall Stuewe for any closing remarks.
Randall Stuewe: Alright, thanks everybody. Sincerely appreciate everybody’s questions today and as always we look forward to bring progress and in Q1 when we report in May. Thanks.
Operator: The conference is now concluded. Thank you for attending today’s presentation you may now disconnect.